Alan Edrick: Thank you. Good morning, and thank you for joining us. I'm Alan Edrick, Executive Vice President and CFO of OSI systems. And I'm here today with Deepak Chopra, our President and CEO. Welcome to the OSI Systems fiscal '21 second quarter conference call. We are pleased that you can join us as we review our financial and operational results and discuss our updated outlook for fiscal '21. Before we discuss our Q2 results, I would like to remind everyone that today's discussion will include forward-looking statements, and the company wishes to take advantage of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995 with respect to such forward-looking statements. All forward-looking statements made on this call are based on currently available information, and the company undertakes no obligation to update any forward-looking statement based on subsequent events or new information or otherwise. During today's call, we refer to both GAAP and non-GAAP financial measures when describing the company's results. For information regarding non-GAAP measures and GAAP measures of the company's results and a quantitative reconciliation of those figures, please refer to today's earnings release. I will begin with a summary of our financial performance for the second quarter of fiscal '21 and then turn the call over to Deepak for an overview of the business. I'll then finish with more detail regarding our financial performance and a discussion of our updated outlook for fiscal '21. As the COVID-19 pandemic continues to impact the global economy, our priority at OSI Systems remains the delivery on commitments to our customers and to our partners, while ensuring the continued safety of our employees. Now we will jump into some highlights. First, we achieved record non-GAAP fiscal Q2 earnings per share of $1.35, up 6% from Q2 of fiscal 2020 despite the adverse impact on security division revenues of the ongoing pandemic. Second, we reported a record Q2 adjusted operating margin of 13.0% a 140 basis point increase from 11.6% in the same period last year. Third, bookings were solid in the second quarter, continuing our momentum from the previous quarter. Our book-to-bill ratio was 1.1 in fiscal Q2 and 1.3 for the first half of fiscal '21, leading to a 20% increase in backlog since the start of the fiscal year. And finally, cash flow conversion was again strong. Q2 operating cash flow was $36 million, and operating cash flow in the first half of the fiscal year was a record $89 million. Before diving more deeply into our financials, let me turn the call over to Deepak.
Deepak Chopra: Thank you, Alan, and thanks to everyone joining us on today's call. During the second quarter of fiscal '21, as Alan has mentioned, we achieved record adjusted earnings and had strong cash flow, and we ended the quarter with a backlog in excess of $1 billion. With a healthy backlog and a solid overall first half performance, we enter the second half of fiscal '21 with confidence. Let's take look at each division's performance in the quarter. Starting with the security division. Security bookings in the quarter were $164 million, representing an approximate 1.1 book-to-bill ratio. As we have mentioned on the earlier call, we expected Q2 revenues in the security division to continue to be impacted by the pandemic, and this was indeed the case. Although the bookings have been strong in each of quarter 1 and quarter 2, there has been difficulty in converting some of the backlog to revenue, given the travel restrictions which impede installations and certain factory and site acceptance tests. Our security team has remained focused on customer service, capturing new opportunities and strong operational execution. We believe revenues will accelerate in the second half of the fiscal year. We booked several opportunities in cargo screening and aviation detection in the second quarter. For ports and borders, during the quarter, we announced a $39 million order from an international customer to help protect its critical infrastructure by providing several platforms of Rapiscan X-ray cargo and vehicle inspection systems in both fixed and mobile configurations, along with ongoing maintenance. We also announced a $12 million international order to provide multiple units of the Z portal, a high throughput drive through inspection system, and the widely used ZBV mobile inspection systems, which can be rapidly deployed to provide flexibility in relocating security checkpoints. This order also includes follow- on maintenance service and product support. We secured another order for $10 million for ZBVs and related maintenance service and support. We continue to see a strong international pipeline for ports and borders, especially in the Middle East and Asia. We believe that the U.S. spending for border security especially on the southern border, will also be reinvigorated with the election cycle behind us and continued bipartisan support for security and technology. Global air passenger traffic is rebounding albeit slowly, while some airports have pushed out deliveries airports in certain regions continue to push for infrastructure upgrades to meet the latest security screening requirements. For aviation detection products, we announced a couple of our wins during the quarter. We received a $13 million order to provide airport screening products, including our 920 checkpoint CT baggage scanner, Orion baggage scanners and Metor 900M walk through metal detectors for a Scandinavian airport. We also were awarded a $6 million order to upgrade aviation checkpoint inspection systems for another customer. Earlier in quarter 2, we announced contracts that were received at the end of quarter 1 from an international government customer for approximately $93 million to provide various X-ray cargo and vehicle inspection systems, baggage and partial inspection systems, trace detection systems and follow-on maintenance and support. In security, our approach to offer a broad portfolio of solutions to our customers has really helped us differentiate in the marketplace. In the first half, global logistic providers were very actively seeking our BPI and RTT solutions for Air cargo. As they continue to expand and upgrade security infrastructure to handle increasing e-commerce demand, thereby increasing our opportunity pipeline. For turnkey services, our Albania and Puerto Rico operations continue to do well, and the newest project in Guatemala at the Port of Santo Tomas commenced operations a few months ago with scanning volume currently ramping up. Our security division also continues to work on development of new security solutions especially in the areas of checkpoint security, cargo and vehicle scanning, enhanced detection software and AI-based automated threat detection solutions. Overall, we believe the performance of the security division in the second half of fiscal '21 will be stronger than the first half performance as we see a growing pipeline of opportunities, and have a significant backlog. Moving to our Optoelectronics division that continues to deliver strong results. Q2 revenues of $88 million represented a new record and a 20% increase over the same period in the prior year. During the first half of fiscal 2021, the team managed through the pandemic-induced operational disruptions at various regional sites to meet customer needs and help grow the top and the bottom line. Opto continues to grow business with both new and existing customers, particularly in Asia and the U.S. as an example of a notable win with a new customer Opto received an order for approximately $6 million to manufacture LED lighting electronic components for a leading OEM. Opto's bookings were solid, and we ended Q2 with a record backlog in the division that was 16% higher than the Opto backlog at the end of fiscal '20. And up sequentially over the 2021 first quarter. The team will continue to focus on opportunities to leverage our existing channels and manufacturing infrastructure in the U.S. Europe and the U.K. and Southeast Asia. We anticipate that this division will continue our strong momentum through the second half of the fiscal year. Moving on to the healthcare division, which reported revenue of $55 million or 31% higher than the same period a year ago. We have been working over the past year to improve operations and bring in new sales and marketing talent in the healthcare division and both initiatives were crucial in driving the division's Q2 performance as the team ramped up sales efforts, order fulfillment and service to handle increased volume. During the fiscal 2021 first half, demand for patient monitoring was boosted by the tailwinds from the pandemic. But we simultaneously also encountered some headwinds in our cardiology business as customers focus more on COVID-related treatments and procedures. As more of the population receives COVID vaccinations, we believe that the diagnostic cardiology product line could benefit based on pent-up demand. Furthermore, we have plans for several new cardiology product introductions in the near term, and we continue to develop the next-generation patient monitoring platform. We are proud of the accomplishments of the entire healthcare team and its continued support of the hospital customer base facing the unprecedented pandemic challenges. Overall, we are pleased with our company's fiscal 2021 first half performance. While the security division faced revenue headwinds as we anticipated, the team has done an outstanding job booking new business, driving new product innovation and positioning itself for a stronger second half. The Opto division continues to deliver strong performance as it benefits from a blue-chip customer base of leading OEMs in diversified industries such as aerospace, defense, automotive, industrial and healthcare. And the healthcare division's focus on customer and operational execution is paying off with the ability to profitably handle significant increases in demand. Looking ahead, we intend to maintain our focus on meeting our customers' needs while protecting the safety and health of our employees. I am truly proud of our OSI team, and I look forward to the second half of a fiscal year. I will now turn the call back over to Alan to further discuss our financial performance before we open the call for questions. Thank you.
Alan Edrick: Thank you, Deepak. So let's review the Q2 financial results in some greater detail. Our revenues in Q2 of fiscal '21 were $276 million as compared to $305 million in the prior year Q2. Similar to Q1, we reported strong sales growth in the healthcare and Opto divisions, but a reduction in revenues in security due in part to the effects of the pandemic. Let's dive deeper, starting with the healthcare division, where, as Deepak mentioned, revenues increased 31% year- over-year with strength in many major geographic sales channels across our portfolio, including patient monitoring, supplies and accessories and service. Opto sales were again strong. With Q2 third-party sales up 25% year-over-year due primarily to organic growth and supplemented by incremental revenues from a small acquisition completed in the second half of fiscal '20, which accounted for approximately 4% of the 25% Opto growth. And as expected, we saw a reduction in revenues in the security division, with sales down 28% year-over-year, largely due to the continued impact of the pandemic on certain aviation and cargo customers. Security bookings were solid with a book-to-bill of 1.1 for the second fiscal quarter and 1.5 for the first half of the 2021 fiscal year leading to further growth in backlog. The Q2 gross margin of 37% was 70 basis points higher than the Q2 fiscal '20 margin of 36.3%, driven by margin expansion in each of our healthcare division, which generally carries a greater gross margin than our other two divisions; and our security division, partially offset by the impact of the strong relative growth in revenues in the Optoelectronics and manufacturing division, which historically tends to carry a lower gross margin than the other two divisions. The increase in the healthcare gross margin was primarily due to economies of scale associated with the strong Q2 revenue increase. The gross margin improvement in security was driven by a favorable revenue mix and the continued focus on operational execution, overcoming lower sales. As mentioned on previous calls, our gross margin will fluctuate from period-to-period based on revenue mix and volume, among other factors. Moving to operating expenses. In response to the pandemic, the company adjusted its cost structure toward the end of fiscal '20 and has continued to make such cost adjustments in fiscal '21. This has contributed to a 12% decrease in Q2 SG&A expenses year-over-year. We work diligently across each of our divisions to improve efficiencies and to prudently manage our cost structure. R&D expenses in Q2 were $13.8 million, representing a year-over-year decrease of 7%. We continue to dedicate considerable resources to R&D, particularly in security and healthcare, as we remain focused on innovative product development, which we view as important to the long-term success of our business. Moving to interest and taxes. Net interest and other expense in Q2 of '21 decreased to $4.2 million from $4.8 million in the same prior year period as a result of reduced borrowings in light of our strong cash flow and a declining interest rate environment since last year. On the tax side, excluding the impact of discrete tax items, our effective tax rate in Q2 of fiscal '21 was 27.5% compared to 27.7% in Q2 of fiscal '20. We recognized discrete tax expenses of $0.3 million in Q2 of fiscal '21 compared to a $0.7 million discrete tax benefit in the comparable prior year. As a result, we reported a tax provision under GAAP of 28.8% in Q2 of fiscal '21 compared to 25.3% in Q2 of fiscal '20. So now let's turn to a discussion of our non-GAAP adjusted operating margin. For a reconciliation to the GAAP figures, please see our press release. Overall, our adjusted operating margin increased from 11.6% in Q2 of fiscal '20 to 13% in Q2 of fiscal '21. We were very pleased with the significant margin expansion especially in the face of overall top line headwinds. In fact, the 13% adjusted operating margin is a second fiscal quarter record for OSI. The non-GAAP adjusted operating margin in our security division came in at 15.7% in the latest quarter, right in line with the prior year second quarter, driven by a favorable mix of revenues, sound operational execution and cost control actions. Our healthcare division reported significant expansion of the non-GAAP adjusted operating margin from 3.1% in Q2 of last year to 17.4% in Q2 of fiscal '21 due in part to leveraging the fixed cost structure with improved sales and sound operational execution. The increases in the security and healthcare margins were partially offset by a reduction in the adjusted operating margin in our Opto division, which decreased from 13.5% in Q2 of the last fiscal year to 12.8% in Q2 of fiscal '21, primarily driven by a less favorable mix of customer revenues. Moving to cash flow. We continue to generate significant cash as Q2 operating cash flow of $35 million brought the total for the first half of fiscal '21 to a record $89 million. This was achieved as we invested in increased inventory and preparation for sales growth, while also experiencing elevated DSO due to timing of collections. The receipt of significant customer advances, primarily associated with new international security wins, helped offset the investment in inventory and change in DSO. CapEx in the second fiscal quarter of '21 was $4.7 million, while depreciation and amortization for the quarter was $11.2 million. Our cash flow conversion continues to be quite solid. Our balance sheet is strong, with modest net leverage and no significant debt maturities until fiscal 2023. Finally, turning to guidance. We are increasing revenue guidance for fiscal 2021 to the range of $1.11 billion to $1.145 billion, from $1.1 billion to $1.142 billion previously. Similarly, we are increasing our non-GAAP earnings per diluted share guidance to the range of $5 to $5.35 per share from $4.65 to $5.10 per share previously. The non-GAAP diluted EPS range excludes potential impairment, restructuring and other charges, amortization of acquired intangible assets and noncash interest expense and their associated tax effects as well as discrete tax items. We currently believe this revenue and non-GAAP earnings guidance reflects reasonable estimates. And we have included the anticipated impact of the COVID-19 pandemic in our guidance. Given uncertainties as to the duration and scope of the pandemic as well as other variables, however, the extent to which COVID-19 may impact the company's financial results is difficult to predict and could vary materially from the anticipated impact thereof currently reflected in our estimates and guidance. Actual revenues and non-GAAP earnings per diluted share could also vary from the anticipated ranges due to other risks and uncertainties discussed in our SEC filings. In the face of challenging times, we remain steadfastly focused on the growth of our business, through investment in product development and strategic acquisitions, while also managing our cost structure. We believe these efforts should enable OSI to continue our leadership in providing innovative products and solutions. Finally, and importantly, as Deepak mentioned, we'd like to take this opportunity to thank the global OSI Systems team for its dedication in supporting our customers and contributing to the creation of value for our stakeholders while maintaining a commitment to safety in the face of uncertainty. At this time, we are happy to open the call to questions.
Operator: [Operator Instructions] Our first question comes from Jeff Martin, ROTH Capital Partners. Your line is open.
Jeff Martin: Was curious if you could give us some additional insight into what you're seeing in the security segment in the second half relative to the first half? What are the key swing factors that give you confidence that you'll see an acceleration in the second half?
Deepak Chopra: Good question, Jeff. This is Deepak here. One of the things as I mentioned, and Alan has mentioned, we're entering the second half with a very strong backlog. Our bookings have been very strong in Q1 and Q2 in security. And we expect that we will start shipping some of that stuff that has been challenged in the first half. Number two, all our indications are, our pipeline continues to be strong, both internationally and domestically. And I also mentioned that with the change of administration, in Washington, some of the bipartisan support is coming to reallocate some of the funding from the border wall into technology and nonintrusive equipment, which we are very well placed with and have a great relationship with DHS.
Jeff Martin: Right. And along those lines, could you give us some relative perspective as to how much, say, in the last 12 months or last year the customs and border inspection in the U.S. contributed? I mean, are we talking about going from very little to potentially a significant amount over the next 12 to 18 months in perspective? That would be helpful.
Deepak Chopra: Jeff, we don't break it down. But we have said in the previous conference calls already last year even DHS, CBP, their budgets have gone up quite a lot. And we think continued strength will remain in place to upgrade technology and to bring more technology-based platforms at the border for inspection.
Jeff Martin: Okay. And then my second question is on the healthcare segment. Could you give us some relative perspective on what your expectation is for the second half of fiscal '21 in healthcare relative to the first half obviously, patient monitoring has been a nice contributor in the first half, and that may not be as strong in the second half, but cardio may pick up. Could just help frame for us whether you expect it to be flat up or down relative to first half?
Alan Edrick: Jeff, this is Alan. Sure. I'll take that question. Of course, we provide guidance for the overall company of OSI Systems as opposed to by division. But kind of giving you a little color, we expect to see continued strength in the healthcare business here in our third quarter. There's so much uncertainty at this time given COVID and the pandemic that looking out beyond that, is difficult to say. But overall, we're seeing continued strength in our healthcare business, and we think that will continue. We're really pleased with the improvements made by our leadership team at Spacelabs and we expect that to reap dividends for us for the future.
Jeff Martin: Okay. Great. And then last question. In terms of capital structure, you paid down roughly $30 million of debt in the quarter, cash was only down minimally just curious if we should anticipate continued debt reduction, how are you looking at capital allocation because you're generating significant free cash flow?
Alan Edrick: Sure, Jeff. This is Alan. You're absolutely right. The cash flow has been excellent. Our capital allocation strategy is multifold. We look at acquisitions, we look at new turnkey projects, we look at stock buyback and we look at any residual paying down our debt. And the nice thing for us is we don't necessarily think they're mutually exclusive. In this past quarter, it was more on the debt pay downside. In the previous quarter, there was a small acquisition, coupled with significant stock buyback. We expect to continue to be a nice cash flow generator and be able to play in all of those areas that I just mentioned.
Operator: Our next question comes from Larry Solow of CJS Securities. Your line is open.
Larry Solow: Congrats on a good quarter. First question I have is on the security piece. So -- and I know you mentioned a little better mix benefited you this quarter, and you have mentioned cost cut in the last couple of quarters. Just trying to get my hands around the revenue declined about 30%, and you were -- as mentioned, able to keep your margin -- operating margin flat year-over-year, which is pretty remarkable. As revenue comes back, do you -- without giving us actual numbers, I suppose we should see operating margin continue to rise and reach perhaps significantly above where we are today. Is that fair to say? 
Alan Edrick: Larry, this is Alan. Good observation and good question. Absolutely, our team has done an excellent job maintaining margins with the change in revenue. And you're right, as margins move up, excuse me, as sales move up, we would expect margin expansion is our goal as well. And we think there's significant opportunity to do that. Of course, some of the changes that we made are more structural in nature and are permanent reductions. Others, like most companies, there's some temporary benefit for maybe some reduced travel savings and some things like that. But absolutely, we do believe there's opportunity for operating margin expansion in our security business and we're planning on that.
Larry Solow: Okay. And you mentioned -- I know you had several contract wins recently. Have any of these contracts, any of these newer business wins contribute in the quarter? Or not? I don't know, on the security side?
Alan Edrick: So the larger announcements that we made and that Deepak referred to will really be more in our second half and even somewhat into fiscal 2022. So this past quarter was principally for wins that we had before besides the smaller book and ship business.
Larry Solow: Got it. And you mentioned Guatemala started to ramp is that any way to sort of characterize that? Is that -- have you sort of laid out cost ahead of the revenue? Should we start to see more rising contributions for that plus on the bottom line of the next several quarters?
Alan Edrick: Yes. That's a correct statement. So we have been ramping up on our revenues for Guatemala and expect to be at near full run rate before the end of the fiscal year. And you are right, some of the costs that you put in are relatively fixed in nature so they come in advance of being at peak revenues. So yes, margins should increase relative to that project for us as volumes ramp up.
Larry Solow: And the drop in service revenue this quarter sort of picked up a little bit relative to Q1. And I think service revenues were down mid-teens and overall revenue was only down in the high singles. Is that -- I assume, mostly from the security segment and I know partially related maybe to Mexico, but is that just utilization stuff and service stuff? Should we expect some of that to start to rebound as we look out?
Alan Edrick: Yes. Good question again, Larry. The drop in service revenue is almost entirely related to Mexico. So that contract will lap in June. So as we move into fiscal '22, yes, we would expect to see a rise in our service revenues year-over-year, but we'll have another quarter or two of that same scenario relative to service revenues.
Larry Solow: Okay. And you mentioned pretty significant growth in healthcare, the 30% number. And I think Q2 normally is a seasonally stronger quarter. Any way to sort of parse out the benefit from COVID? Do you -- it sounds like seems to be outweighing the cardio, the slowdown on cardio, but maybe not. Just trying to parse that out. And maybe you can help us, how much is cardiology roughly, can you tell us represent in terms of your segment revenue?
Alan Edrick: So Larry, this is Alan. So cardiology, including some of the ancillary services, is about quarter of our revenue of our healthcare business overall.
Larry Solow: Okay. And on the COVID benefit, do you see those continuing? Do we -- or is that something that may -- even with COVID continuing, I don't know, hospitals are they continuing to purchase monitors? Or will it become a point where they don't have so many beds for monitors, right?
Deepak Chopra: So Larry, this is Deepak here. As Alan has mentioned, it's very difficult to predict it. We've had a very strong couple of quarters. And Alan has also mentioned, Q3 continues to show strength, difficult to read Q4. But all in all, we think that this is an ongoing, and it's not just in U.S., it's in Canada, it's in other parts of the world. And cardiology, we think, will pick up. So all in all, we think that the healthcare will continue to do well. But definitely, we are not saying in any shape or form that can continue with the 30% growth that we've seen. But -- on the other side, security, we think is going to do better in second half. And the Optoelectronics that Alan has mentioned continues to show very, very good performance.
Larry Solow: Looking at healthcare, you don't think we're approaching any type of -- not a cliff, but where you might see a significant pullback from maybe perhaps customers on the hospital side don't buy for a few quarters. Is that something that you think is a risk or not necessarily?
Deepak Chopra: We don't see any major pullbacks and stuff like that. At the same time, remember, we're also spending a lot of R&D money to develop new products, and those products will start being implemented in cardiology specifically in later in the second half. And as we go into the next years, the new platform that we are working on in monitoring should start seeing some big traction.
Operator: Our next question comes from Christopher Glynn of Oppenheimer. Your line is open.
Christopher Glynn: Yes. So I was curious about the cardiology commercialization process with the new products coming. I think there's a focus in North America. Wondering how the kind of channel conditioning is going, what your line of sight is on converting the commercial aspect independent isolating out the pandemic timing type dynamics?
Alan Edrick: Chris, this is Alan. Really good question. Yes, we're really excited about the opportunities in cardiology. We brought on a new commercial team for North America for the United States specifically, as you're referring to. So we have a new Vice President of Cardiology sales who came on board and he's recruited some new members to his team, and the timing couldn't be more perfect. So as these new products begin to come out here, predominantly in our fourth quarter, fourth fiscal quarter and beyond. It's just a perfect time to start ramping up for cardiology. As Deepak mentioned, we expect some increasing levels of demand for some of the existing products. As we come out of the pandemic coupled with the new products, we expect this to lead to some significant growth in cardiology sales, particularly in the U.S., but really on a worldwide basis. And one of the nice things about that is cardiology represents our highest margin product in healthcare. Frankly, it's our highest margin product in all of OSI systems. So as cardiology sales ramp, there's a real nice pull-through to the bottom line both for the division and the company overall.
Deepak Chopra: Just to add on to what Alan said, the other thing that there is a change happening in the marketplace that most people are looking at remote monitoring home monitoring, teleservices, our new products and stuff are based on cloud computing, and we are very much focused on to this new trend that's coming in there. People don't want to visit hospitals. People don't want to go there. So if they can do the monitoring from home, the doctors can go back and forth, we are very much engaged in that.
Christopher Glynn: A quick question on inflation. Curious how you manage that, whether through hedges or pass-through and how backlog that's already booked fares when we have an inflation ramp in the economy?
Alan Edrick: Yes. Chris, this is Alan. So we have not tended to see any material impact from inflation. While there can be some inflation, we -- our supply chain also does a good job managing cost reductions in other areas. So overall, we do not view inflation as really a significant impact to our company overall.
Operator: Our next question comes from Josh Nichols of B. Riley. Your line is open.
Josh Nichols: Commendable job specifically on the operating margin side, guess. Looking here, I did want to ask some of the questions I had have already been addressed. But looking at how strong the Opto division has been, we've been hearing a lot of things about shortages and high demand out of that area. Is there any elaboration that you could provide about specific areas of strength, whether it's like specific products and demand? And where is that feeding into from like a geographic region?
Deepak Chopra: Good question. Definitely, yes, you're right. The reading right. There's a lot of people, we're having shortages and stuff. We don't see much about it. We are very fortunate that we are a vertically integrated company. The demand that we are seeing is in a very broad industrial platform. Obviously, the number one platform that's showing a significant demand is from our healthcare, we are very much into the healthcare OEM products in pulse oximetry and other areas that supply to other people. Aerospace depends. And the answer to your question is, in this particular case, it's pretty much move or there's a lot of demand from the U.S., there's a lot of demand in Asia. Even in Europe, yes, there are some challenges out there. But our product -- our customer base, one of the biggest trends we've always had in that Opto product line, we have a very broad customer base. And one of the other areas which are doing very well is in the automotive industry.
Alan Edrick: And Josh, just to add on, our biggest strength has been out of our Asian operations. And the greatest growth is what Deepak just mentioned in automotive as well as in some of the defense business. So the broad-based nature of what we do has been extremely helpful for us.
Josh Nichols: Some helpful detail on that front. I'm glad to hear that you guys are well situated as a vertically integrated player in that space. Is it fair to say now that you've had a couple of these turnkeys rollout also, right, and you're ramping up now that the services revenue is probably kind of bottomed in 2Q and probably going to start ramping up a little bit more as we move through the following back half of this year?
Alan Edrick: Josh, this is Alan. Yes, that's generally a correct comment. I think what we're going to see -- where you'll see the growth in service tend to occur probably as we enter our fiscal '22 here in about 6 months. As we'll continue to have those tough year-over-year comps in service for Q3 and Q4. So we would expect the growth to begin starting fiscal '22.
Josh Nichols: And then last question for me. I mean, I think you guys were cored in my model at least, like it looks like you're going to be under 1 time net debt-to-EBITDA levered, right, by the end of the year. So clearly, a lot of opportunities for you guys, whether that's share repurchases or looking at some strategic M&A as well. One of the things I think that people would like to see or be wondering about is what needs to happen? Or how could the company kind of potentially accelerate the top line growth, thinking more about next year on one over your pass those year-over-year comps kind of to like a a low double-digit revenue and get out of the mid, high single-digit growth category? And what's the opportunity to improve on that front?
Deepak Chopra: Good question. I'm going to answer it in a broader sense and then maybe Alan can jump in basically, our focus is our backlog is very strong. Our pipeline is very strong, especially in security, and as what the pandemic settles down as the vaccination comes into place, more travel is started, we will start seeing some big infrastructure investment from airports and ports and stuff especially United States. So we think that's going to be the growth carrier in security. Opto will continue to do well as it's a very broad product line. And healthcare, as Alan has mentioned, though definitely, that kind of growth in patient monitoring might slowdown, but cardiology is there. And the most important thing is that as a company, we've also been very acquisitive. We look at acquisitions, and we'll continue to look at it with a strong balance sheet. Alan?
Alan Edrick: Yes, I would echo what Deepak said, we have a strong funnel of opportunities ahead of us to drive good, solid organic growth, but sort of leveraging on your comment, Josh, we do have a very strong balance sheet with low net leverage. M&A, acquisitions have played a big part of our strategy over the last 10 or 15 years. And we'd like to bolster or supplement that organic growth with some acquisitions as well. So I think the combination of those two can get us to a more accelerated revenue growth, as you were suggesting.
Operator: Our next question comes from Greg Konrad of Jefferies. Your line is open.
Greg Konrad: We've talked a lot about new product development on the healthcare side. Is there any way to think about as these new programs roll out, how much is kind of replacement versus incremental opportunities and kind of expanding your total addressable market versus replacement products?
Deepak Chopra: Okay. Good question. This is Deepak here. On both -- on the cardiology side, it's add-on products. It's cloud computing. It's tele products related. And those are going to start getting executed in the next couple of months. Regarding the patient monitoring side, we are investing largely for our new platform, and that's going to take some time. And that will go into both combination of replacement, and we also say where we call them conversions, where because of the good connectivity story, good partnership, better price performance, we think that we will get some replacement conversions also. So that will be the growth path.
Greg Konrad: That's helpful. And then, I mean, you've always talked about healthcare being the highest contribution margin of the business, and I think 50%, 60% is the number that you guys have thrown out, and you've kind of seen that play out the last three quarters. Any reason to think that trend changes in terms of drop throughs? Or is that level kind of sustainable as we go forward?
Alan Edrick: Greg, this is Alan. We believe that the contribution margins that you've seen in healthcare are indeed sustainable. It always depends upon the mix of revenues. But as you mentioned at the outset, it is our highest contribution margin business. So the incremental are significant for us.
Greg Konrad: And then just last one. I mean, you talked a little bit upfront about the changes in administration and some of the benefits. But we also saw the FY '21 budget finally passed at the end of the calendar year. Any benefit or funding maybe that gets freed up by that bill passing?
Deepak Chopra: Well, I specifically can't answer that. But as we have said before, both bipartisan administration, they all are looking at more technology, which will make it more efficient. We are very well placed to have a great relationship with DHS, DOD, CBP. Lots of our equipment is at the southern border. And we continue to think that all the things that are happening and what we are hearing will be positive for us.
Operator: [Operator Instructions] Our next question comes from David Mizrahi of Berenberg. Your line is open.
David Mizrahi: You mentioned on the last call, you expect roughly half a billion dollar backlog to be converted into sales through the remainder of this fiscal year. Just given the difficulties you have in actually converting the backlog into sales, how has that changed for you guys so far?
Alan Edrick: David, yes, good question. This is Alan. As we look at the remainder of the year, we continue to expect a little bit less than half of our current backlog to be converted into revenue through the rest of the fiscal year. We have pretty good visibility in working with our customers in terms of the timing of installations and the like. So we have a pretty high degree of confidence that it will be just a little south of half of our current backlog.
David Mizrahi: Great. Okay. And then can you just give us a brief update on how the SafeNSound acquisition is going? And because I know that you're focusing with the remote patient monitoring market. And you mentioned a few calls ago that be roughly integrated in the next 12 months or so. So how is that progressing?
Deepak Chopra: Good question. Well, and it's very much incremental and embedded into our development of the next platform. And we continue to move forward. It's very much part of the total R&D that we are doing to develop the next generation, especially remote monitoring, cloud computing and stuff, SafeNSound is very much part of that integral development.
Alan Edrick: And in addition to that, as part of our new development, when we look at our current commercialization effort, it's been instrumental in winning certain new business. So it's been very helpful for our sales and commercial team to sell SafeNSound along with our existing patient monitoring products as a nice differentiator for us. So it's really been a big win for us.
Operator: Thank you. I'm showing no further questions at this time. I'd like to turn the call back over to management for any closing remarks.
Deepak Chopra: Ladies and gentlemen, thanks once again for participating in our conference call. We look forward to speaking with you at your next earnings call. I wish everybody a healthy, safe time. And again, I want to thank, once again, our total global employees of OSI Systems for a job well done. Very proud of them. Thank you.
Operator: Thank you. Ladies and gentlemen, this does conclude today's conference. Thank you all for participating. You may now disconnect. Have a great day.